Operator: Good morning and good evening ladies and gentlemen. Welcome to the Second Quarter, 2014 Orient’s Paper Inc. Earnings Conference Call. At this time I would like to inform you that this conference is being recorded and that all participants are in a listen-only mode. With us today are Mr. Zhenyong Liu, Orient’s Paper’s Chairman and Chief Executive Officer who will speak through his interpreter, and Mr. Winston Yen, the company’s Chief Financial Officer. Orient Paper has announced its second quarter 2014 financial results through a press release earlier and it’s available on the company’s website at orientspaperinc.com. Mr. Liu’s interpreter will brief you on the company’s key highlights, operational and corporate developments over the second quarter of 2014 and Mr. Yen will walk you through the company’s financial and business review and as well as the company’s outlook and guidance. After that there will be a Q&A session. Before we begin, I would like to draw your attention to our Safe Harbor Statements. This announcement contains forward-looking statements within the meaning of the Safe Harbor Provisions of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical fact in its announcement are forward-looking statements, including, but not limited to anticipated revenues from the digital photo paper business segment; the actions and initiatives of current and potential competitors; the company’s ability to introduce new products; the company’s ability to implement planned capacity expansion of corrugating medium paper; market acceptance of new products; general economic and business conditions; the ability to attract or retain qualified senior management personnel and research and development staff and other risks detailed in the company’s filings with the Securities and Exchange Commission. These forward-looking statements involve known and unknown risks and uncertainties and are based on current expectations, assumptions, estimates and projections about the company and the industry. The company undertakes no obligation to update forward-looking statements to reflect subsequent occurring events or circumstances or to changes in its expectations, except as may be required by law. Although the company believes that the expectations expressed in this forward-looking statements are reasonable, it cannot assure you that this expectation will turn out to be correct and investors are cautioned that actual results may differ materially from the anticipated results. There is a presentation document featuring management’s prepared remarks and its now available for download from the company’s website at www.orientpaperinc.com. Please note that there will be discussions on non-GAAP financial measure or EBITDA or earnings before interest, taxes, depreciation and amortization. Please refer to our press release for a complete reconciliation of EBITDA to net income. As a kind reminder all numbers in our presentation are quoted in U.S. dollar and all comparisons refer to year-over-year comparisons, unless otherwise stated. I will now like to turn the call over to Mr. Liu, who will again speak through his interpreter. Please proceed.
Zhenyong Liu (Interpreted): Good morning to our investors calling in for our second 2014 earnings presentation. We are pleased to report strong growth in our revenue; thanks to the successful ramp-up of our PM6 with a monthly utilization rate of approximately 75% throughout the period, resulting in a 23% rise in product volumes of our regular high strength CMP or Corrugating Medium Paper. The 35% utilization has better absorbed our fixed facility cost and elevated the effect of a modestly lower average selling price or ASP for regular CMP experienced in this quarter. In addition we are pleased with the performance of the newel launched PM1 after an early completed on our modernization program. We produced over 400,000 tonnes of Light-Weight CMP in just more than a month after we started commercial production. Despite challenges in optimizing the working capital needs, we have maintained our debt to asset ratio at a level well below the industry average, and we will continue to make efforts to execute our expansion plan, while carefully managing our liquidity to ensure the financial viability of the company. With a mild recovery, our regular CMP prices and the ramp-up of our production line, we reiterate our commitment to meeting our full year 2014 guidance. Later in this presentation, we will share updated progress photos at our Wei County development. Now I will inviter our CFO, Mr. Winston Yen to discuss the financial and business review, as well as our outlook and guidance before my interpreter returns to give you my closing remarks. Winston please.
Winston Yen: Thank you. Please be reminded that all numbers are in U.S. dollars and all comparisons refer to year-over-year comparisons unless otherwise stated. The numbering system for our production lines is provided in our earnings press release and slide 27 of this presentation. So first lets look at the overall financial performance over Q2 of 2014. Please turn to slide number seven. Total revenue was $37.8 million, up 14.5% due to the ramp-up of Regular CMP at PM6 throughout the second quarter of 2014 and commencement of commercial production of the newly renovated PM1. Gross profit was $6.1 million, about the same level of last year, while our gross margin was 16.2% down from 18.5%. This is due to the lower ASP of Regular CMP that has affected our profitability. Hence income from operations was $5.1 million and operating margin was 13.6%, down from 15.8% a year ago. Likewise net income was $3.6 million and net margin was 9.4%, down from 11.1%. This translates to a basic and diluted earnings per share of $0.19. Moving on to slide eight on our cash position. As of June 30, 2014, our cash and cash equivalent went up 32% to $4.1 million, compared to $3.1 million at the end of 2013. Operating cash flow, which includes $8 million from proceeds of bank notes payable went up 129% to $20.9 million. We’ll now take a closer look at our product segments, starting from CMP on slide nine. This includes both of our regular CMP from PM6 and a Light-Weight CMP from our new PM1. In Q2 we generated $25.8 million for this business segment, taking up 68.1% of total revenue. Sales volumes were 71,988 tonnes, up by 30.8%. ASP for Regular CMP decreased 4.3% to $358 per ton due to lower customer demand. ASP for Light-Weight CMP was $362 per tonne for the conception period ended June 30, 2014. Utilization rate was 75% compared to 50.4% for PM6 in Q1, 2014. Now turning to slide number 10, on our Offset Printing Paper. In Q2 revenue was $11 million, representing 29.1% of total revenue. Sales volumes were 16,013 tonnes and ASP was $687 per tonne almost the was the same level one year ago. We will now move on to discuss our operational and business updates. Please turn to slide 13 for an update of our PM6 ramp-up. The average utilization rate in the second quarter was 75.3% compared to 50.4% in the pervious quarter. We are pleased to have achieved 77%, 76% and 74% for the three months, which shows our success in the ramp-up of the line. The company will continue to focus on the ramp-up of PM6 in the second half of 2014 to achieve the goal of an annual production of 220,000 to 250,000 tonnes for the full fiscal 2014. We now move on to slide 14 for an update of PM1 modernization. As announced previously, we have recently commenced commercial production of the newel renovated PM1, producing Light-Weight CMP with specification of 60g/s/m. PM1 has successfully ramped-up production achieving 4,215 tonnes of paper in the period since it started production. Light-weight CMP based packaging paper products have a wide range of commercial applications. Examples include the encapsulation of certain insulating materials as construction material for wall and floor insulation; use in manufacturing moisture-proof packaging materials for transportation of books and magazines or as the corrugating medium in cardboard for light-weight packaging solutions. With the designed annual production capacity of 50,000 tonnes to 60,000 tonnes, the new PM1 is expected to bring in additional revenue in the range of $9 million to $11 million in 2014. We have also included the latest photographs of PM1 on slide 15 and slide 16 for your reference. Next lets look at slide 17 for our Tissue Paper Expansion project. The construction of office, building, factories and warehouses in Wei County site is in final stages and the Tissue Paper packaging equipments are being instated. Due to budget funding delays experienced in the last few months, the company now estimates the completion date of PM8 to be in the second half of 2015. We do not expect the delay of PM8 completion to cause any financial impact on the company's 2014 annual earnings, as no significant revenue or net earnings contribution from PM8 was originally budgeted for the year of 2014. On slide 18 there are some photographs from our Wei County site here for your reference. As you can see, we are in the process of installing the processing line in the Tissue Paper Packaging section of the workshop. When the instillation is completed, the processing line, the packaging section can function independently from the Tissue Paper Machine section and can process commercially marketable Tissue Paper Products using base paper sourced from third parties. Now we would like to move to slide 19 to update you on the relocation of PM4 and PM5. As announced last year, in recent years there has been more residential buildings and residence living in the surrounding areas of our Headquarter Compound. So we are forced to move, because the county government’s rezoning policy and we have to sell the land of our Headquarter Compound to comply with the rezoning mandate. We have made a decision to relocate the Digital Photo Paper productions lines, PM4 and PM5, as well as related equipment from the workshops currently located in Headquarter Compound to a new location that is right across the street from the company’s Xushui Paper Mill, which we named Xushui Mill Annex. The new location, Xushui Mill Annex is beneficial for Orient Paper, as well will be able to enjoy greater convenience in synergies by having all of our current operation lines, more of less within the same neighborhood. PM4 and PM5 will be temporarily shut down in the fourth quarter of 2014 for relocation. When the new workshops and facilities are ready, the operations are expected to resume in the second half of 2015, when the relocation is completed. Next lets look at slide number 20 for an update of our financing and debt restructure. First, we would like to stress that the company has no problem in getting financing in China. However, due to the tightening credit policy of the Chinese government, local banks were unable to grant loans for a longer term than we would prefer. In fact, we have been able to secure financing and recently in July we just entered into a series of bank acceptance note financing agreements with a different bank for a total amount of approximately $11.4 million with terms less than or equal to 12 months. We see the new credit facility with the new bank as a testament to our financial strength. Our debt asset ratio as of June 30, 2014 was 25.93%, which is well below industry average at 53.06% for 20 large paper mills that are publicly listed in China, while the debt to asset ratio of the top six companies had all exceeded 60%. Regarding outlook and guidance, please turn to slide 22. For the market seasonal demand, for container board, it’s expected to pick up in the second half of the year and peaks in October or November as the production and shipment for goods for Christmas and Chinese New Year peaks. In terms of the regulatory environment, the government is expected to continue pushing for industry efficiency and environmental protection. The Ministry of Industry and Information Technology of China has announced on July 24, 2014 that 3.97 million tonnes of paper and pulp manufacturing capacities, including 500,000 tonnes in Hebei Province will be mandatorily retired by the end of year 2014. Therefore the ASPs for CMP and other packaging paper are largely expected to make a mild recovery from the second quarter, which is already happening now and would remain stable in the next few quarters. For the second half of 2014, we are maintaining our guidance, most of the financial KPI or metrics, including net income and net earnings per share for the full year of 2014. Revenue for the full year are expected to be in the range of between $146 million and $161 million; gross profit between $27 million and $30 million; net income between $15 million and $17 million; and basic and diluted earnings per share to be between $0.81 and $0.90.  All right, so now Mr. Liu will give us his closing remarks. He will speak through his interpreter. Please turn to slide 23.
Zhenyong Liu (Interpreted): Thank you Winston. Orient Paper remains committed to establishing a track record for solid financial performance and we will focus on the ramp-up of both PM6 and PM1 to generate strong cash flow from our operation. At the same time we will continue to carefully monitor our financial position and strategically manage the pace of our new business expansion and execution of other capital expenditures items, while balancing our working capital needs and watching for market developments. Furthermore, we would be making all efforts to secure financing to strengthen our short-term liquidity, as well as maintaining our competitive cost base. Thanks to the explosive growth of online shopping in China, there has been a rising demand for lighter weight packaging in the market. Orient Paper is expected to benefit from this trend, with our new product Light-Weight CMP from the modernized PM1. As a leading player in the fragmented North China packaging segment, we are committed to both, efficiency and environmental conservation and we are positioned to take advantage of the industry consolidation and prevailing market opportunities to increase our market share and further establish our leadership position. This ends our prepared remarks and the call is now opened to address your questions. Operator, please.
Operator: Thank you. Ladies and gentlemen, this concludes the management’s prepared remarks. We will now open the floor for questions. In order to save time and for better proceedings, please limit your questions to two per person, per time. Thank you. And for the benefit of our English-speaking participants, please make sure you raise all your questions in English only. We will begin to start the question-and-answer session now. (Operator Instructions) Your first question comes from the line of Howard Flinker from Flinker & Co. Please ask your question.
Winston Yen: Good morning Howie.
Howard Flinker - Flinker & Co.: I noticed that the Chinese government approved an increase in the price of natural gas – I don’t know, a few days ago. One, will you be able to pass that on; and two, will you be able to pass that on, plus a mark-up?
Winston Yen: Sure. Now I have not seen that report, but currently we have not been using natural gas as our energy source, even though there has been rumors from local government at the Wei County Industrial Park, that several years after we start operation, there might be a mandate to push everyone to use natural gas rather than coal as the major source of energy. So I think right now that the question and any answer could only be hypothetical. We of course will hope that if we have to be forced to switch to a much more expensive source of energy, we will have to pass that additional cost to our customers and I think it will just trickle down to everything in the industry. So right now its kind of unimaginable, but we are not terribly concerned about that, because I’m pretty sure that we will probably not be the only business that will be affected by this in the future.
Howard Flinker - Flinker & Co.: I’ll tell you the source. I found it in the Shing Wah English and maybe this week.
Winston Yen: Okay. Yes, I will definitely check it up.
Howard Flinker - Flinker & Co.: And second, just last night I was speaking to another Chinese company, a company that uses a great deal of coal and in this second quarter or first quarter, they were already – they are in Fujian. They were already told to use natural gas instead of coal. So they’ve been switching already. So it’s underway and we know the reasons. It’s an environmental reason. So it will probably affect every paper company as well. And as much as your prices has hardly changed so far this year or they went down a little bit, might this be a reason why all the competitors have to raise price?
Winston Yen: I have not heard anything from within the paper industry about switching to natural gas.
Howard Flinker - Flinker & Co.: Not yet.
Winston Yen: Not yet, not yet, at least not to my knowledge. But this is true. We of course are building new production lines in this location called Wei County Industrial Park and just within that Industrial Park, PetroChina is building a natural gas station. We don’t know when that construction will be ready yet and we don’t know when it will begin operation, but I think the intention was for that natural gas station to be able to provide natural gas to all of the constituents in Wei County, so…
Howard Flinker - Flinker & Co.: Weiyuan?
Winston Yen: Yes, Weiyuan.
Howard Flinker - Flinker & Co.: Okay.
Winston Yen: So its difficult for us to measure the impact at this point, even though we know that if we have to buy natural gas from somewhere right now, the cost of natural gas is probably more than double or even three times of the price that we pay for coal, especially I mean we used to pay RMB 600 per tonne for coal and right now I think we’re paying less than RMB 500 for coal. This is probably at historical low for the last five or seven years. So if…
Howard Flinker - Flinker & Co.: Would you happen to know the price of natural gas as it is in China?
Winston Yen: I don’t, but my impression is that it’s got to be more than twice the price that we pay for coal or even three times.
Howard Flinker - Flinker & Co.: And when is (inaudible) PetroChina, when does it have to – when will it finish that natural gas facility in Weiyuan?
Winston Yen: I don’t have any answer right now, but I can check it out and get back to you.
Howard Flinker - Flinker & Co.: Yes. I’m just kind of curious. Okay, those are my questions. Thanks.
Winston Yen: Thank you Howie.
Howard Flinker - Flinker & Co.: Thanks.
Operator: Thank you. (Operator Instructions). At this time there are no further questions in the queue. So I’d like to hand the call back to Mr. Winston Yen, CFO, for closing remarks. Thank you.
Winston Yen: Thank you, operator. We would like to thank you for you joining this conference call. We invite investors to contact us if you have further questions. Please feel free to contact our IR team at ir@orientpaperinc.com. We wish everyone a good day. Thank you.
Operator: Ladies and gentlemen, this concludes our presentation. Thank you for your participation. You may now disconnect. Have a great day.